Operator: Good day everyone and welcome to the AGCO 2022 Second Quarter Earnings Release Conference Call. [Operator Instructions] Now, at this time I’d like to hand the conference over to Greg Peterson, AGCO Head of Investor Relations. Please go ahead, sir.
Greg Peterson: Thanks, April, and good morning. Welcome to those of you joining us for AGCO’s Second Quarter 2022 Earnings Conference Call. This morning, we will refer to a slide presentation that’s posted on our website at www.agcocorp.com. The non-GAAP measures that we use in the slide presentation are reconciled to GAAP metrics in the appendix of those slides. We’ll also make forward-looking statements this morning, including demand, product development and capital expenditure plans, production levels, engineering expense, exchange rates, pricing, share repurchases, dividends, future commodity prices, crop production, our supply chain, inflation, component deliveries, retail revenue, margins, earnings, cash flow, tax rates and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company’s Form 10-K for the year ended December 31, 2021. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. These factors include, but are not limited to, adverse developments in the agricultural industry; including those resulting from COVID-19, including plant closings, workforce availability and product demand. Supply chain disruptions, weather, exchange rate volatility, commodity prices and changes in product demand. We disclaim any obligation to update any forward-looking statements as except as required by law. We will have a replay of this call on our corporate website later today.  On the call with me this morning are Eric Hansotia, our Chairman, President and Chief Executive Officer; Damon Audia, our Senior Vice President and Chief Financial Officer; and Andy Beck, our former CFO and now Senior Vice President and Senior Advisor. With that Eric, please go ahead.
Eric Hansotia: Thank you, Greg, and good morning. We appreciate your interest in AGCO and your participation on the call today. Our second quarter results summarized on Slide 3 exceeded our updated forecast. I’m really, really proud of the strong effort our team put forth to mitigate the impacts of the cyber attack, significant currency headwinds, and a difficult supply chain environment. Despite these challenges in the quarter, we maintained our full year financial targets, that includes strong revenue growth, margin expansion and absolute record earnings per share. We expect to deliver these results, even with the continued supply chain and logistics challenges, as well as material and freight cost inflation, which are being muted by strong pricing. For our markets, although commodity prices have pulled back from the extremely high levels earlier this year, they remain at levels still – that still support healthy farm income. Overall demand in AGCO’s major end markets remains robust. Our order boards are ahead of last year’s high levels and our production plan supports sales growth in the balance of the year. Interest in our Precision Ag solutions is strong, very strong, and we have increased our technology, and digital investments to support further growth. Slide 4 details, industry unit retail sales by region for the first half of 2022. Weather, in geopolitical conflicts are pressuring crop production this year. Estimates for lower, yearend green inventories are supporting crop prices resulting in healthy farm economics and elevated demand across all major markets. Industry retail sales continue to be negatively impacted by supply chain constraints, which is limited equipment production during the first half of 2022. We continue to believe that the weaker year-to-date industry sales on this slide are a result of supply chain challenges, and not softening end market demand. North American industry retail tractor sales were down approximately 7% in the first six months of 2022, compared to last year. Smaller tractors declined from their record levels of 2021, while increased sales of high horsepower units offset some of the decline. Industry retail tractor sales in Western Europe, which also were restricted by supply chain challenges. Decreased by approximately 10% in the first half of 2022 compared to strong levels in the first six months of 2021. Farmer sentiment has been negatively impacted by the conflict in Ukraine, as well as input cost inflation, but forecasts for healthy farm income in Western Europe are expected to support solid retail demand for equipment throughout 2022. In South America, industry sales increased during the first six months of 2022 in both Brazil and Argentina. Strong crop production levels, as well as elevated commodity prices are supporting positive economic conditions for farmers who continue to replace an age fleet.  AGCOs 2022 factory production hours are shown on Slide 5. As a consequence of the cyber attack, we suspended production in the majority of our production facilities for up to two weeks during the month of May, while we successfully restored our systems. This caused our second quarter production hours to be down about 8% compared to the second quarter of 2021 and resulted in lower sales in the quarter than our original targets. We expect to recover the second quarter production losses by increasing production in both the third and fourth quarter. For the full year of 2022, we currently project production hours to increase approximately 5% to 7% compared to the 2021 levels. Our current July production rates are solidly on track to deliver the higher production plan in the months ahead. The supply chain issues have impacted our ability to complete and ship units as well as contributed to labor inefficiencies. The volatile supply chain environment is still requiring us to keep higher than normal levels of raw material and work in process inventory on hand. We are facing supplier bottlenecks and delays in all regions and although trending slightly better in some markets, we expect continued challenges in the quarters ahead. However, the combination of increased production in the second half of the current and the current volume of semi-finished products gives us strong confidence in our full year sales outlook. At quarter end AGCO’s order board remains extended. Orders for tractors and combines are higher in North America and Europe and we're down modestly in South America compared to a year ago. But please note that we are continuing to limit our order board in Brazil at three months to give ourselves more pricing flexibility. Many of you were with us for our Sustainable Technology event in Germany a few weeks ago, where we showcased our Precision Ag capabilities. Slide 6 highlights one of the key themes from the event, our focus on high margin growth. The first focus area is taking our Fendt full line brand global. Now historically Fendt has been a very strong tractor business in Europe. We are working to grow the business along two vectors, the first expanding Fendt product line beyond tractors and the second taking the Fendt full line products global. Interest is growing in our premium Fendt product lines in both north and south America. Our Fendt branded sales in the first half of 2022 have increased over 20% compared to the first half of 2021. And we expect these growth rates to improve in the second half based on our current production plan. Our Fendt and Challenger sales in north and south America are expected to double in 2022 as compared to 2020. Our ambitious target is to double them again over the next five to seven years. The second focus area involves Precision Agriculture. At AGCO we address the Precision Ag market in two ways. First is through our precision planting business, which has become one of the fastest growing ag-tech companies in the world. Precision planting has been successful in providing automation and intelligence to planters, and now they're growing well beyond planters into other parts of the crop cycle like spraying, harvesting, and even others. In addition to their impressive technology, precisions planting successes generated through their unique retrofit approach, which reduces the farmer's upfront investment and increases their ROI by offering solutions through a retrofit approach, we expand the addressable market beyond AGCO brands to all industry brands. The other way we address the Precision Ag opportunity is our business called Fuse, which provides OEM solutions for our AGCO equipment, options like telemetry guidance, field mapping, and other Precision Ag capabilities make our AGCO machines smarter and more productive for the farmer. Fuse is also on an accelerated growth curve as farmers are looking to add features to become more capable, more intelligent and more productive. I'll touch on the financial impacts of AGCO’s Precision Ag in a minute. But the third high margin focus area is our global parts and service business. AGCO is already in a leading position relative to having the part there when the farmer needs it, we call that parts fill. We're building from a solid foundation to capture more of the dealer and farmer's business. We're helping dealers become better and more proactive with their service and parts offering with our smart solutions and expanding our digital capabilities. As a result we expect after sales and parts business to grow and have higher penetration. Combined, these three opportunities provide significant growth potential at higher margins and less variability during cyclical downturns. It's a real win-win-win for farmers, investors and AGCO. Slide 7 covers another key message from our meeting in Germany. A big part of our growth story is the significant expansion of our addressable market. Thanks to a Precision Ag capabilities. As we focus on delivering value to farmers, we see the opportunities to add value across all aspects of the crop cycle. We are now focused on delivering value to customers to help them improve yields while reducing input costs like labor, fuel, seed and fertilizer. It's why we're investing in Precision Ag and why we see this as a significant growth opportunity for AGCO. By addressing solutions across the crop cycle, AGCO leading Precision Ag solutions will allow us to expand our reach and capture a larger share of the value created from our innovations. Slide 8 details, how this comes together with our growth ambitions for our Precision Ag business. At our analyst meeting in early 2021, we talked about doubling our Precision Ag business by growing our precision planting and our Fuse businesses. We committed to growing from $400 million in sales per year to $800 million per year by 2025. So far, we are ahead of schedule to reach the original goal. Through strong execution and the great reception our products are receiving from our farmer customers, we have delivered a compound annual growth rate of over 20% in our Precision Ag business since 2018. With that strong performance, we are now targeting over $900 million in revenue from our Precision Ag portfolio by 2025, while maintaining the strong margin performance. I continue to be very, very excited about the future of our Precision Ag business. Not only for us, but for our farmers as well. And that's my pleasure to introduce our new CFO Damon Audia, who is replacing Andy, who has decided to retire from AGCO after 28 years of fantastic service with the company. As many of you already know, Damon comes to us from Kennametal. We are very excited to have Damon joining our management team and meet with you over the coming many months. Andy is helping with the transition and will be out hand to help with Q&A today. With that Damon, please go ahead.
Damon Audia: Thank you, Eric. And good morning, everyone. I'm very excited to be joining AGCO. It's such a great time as we continue to execute our Farmer First strategy, I look forward to meeting with many of you over the coming months. Now I will start on Slide 9 with an overview of AGCO’s regional net sales performance for the second quarter and the first half of 2022. Net sales were up approximately 10% in the quarter compared to the strong second quarter of 2021 when excluding the negative effect of currency translation. Pricing in the quarter which was around 9% contributed to higher sales, which dampened the impact of the cyberattack that resulted in lower production sales particularly in North America and Europe. By region, the Europe/Middle East segment reported an increase in net sales of approximately 3%, excluding the negative impact of currency translation, compared to the sales in the second quarter of the prior year. The sales growth was primarily the result of pricing, which offset slightly lower volumes resulting from the effect of lower production and supply chain challenges. Net sales in North America increased approximately 1%, excluding the unfavorable impact of currency translation compared to the second quarter of 2021. The increased resulted primarily from the effect of pricing to mitigate inflationary cost pressures, mostly offset by lower sales of combines and sprayers. In South America, net sales grew approximately 77%, compared to the second quarter of 2021, excluding favorable currency translation, driven by significant pricing as well as volume and mix effects. Sales were up strongly across the South American markets with high horsepower and mid-size tractors as well as sprayers showing the largest increases. Sales to dealers outpaced retail sales in the quarter in advance of government subsidized financing, which will reopen for the farmers in the third quarter. Net sales in our Asia Pacific/Africa segment increased about 2% compared to high sales in the second quarter of 2021 on a constant currency basis. Higher sales in Australia and Japan were partially offset by lower sales in China, mainly related to COVID-19 related lockdowns in the quarter. Finally, consolidated replacement part sales were approximately $450 million for the second quarter, approximately 6% lower than the second quarter of 2021. Unfavorable currency effects were approximately 8% during the second quarter. Turning to Slide 10. The second quarter adjusted operating margin declined by approximately 120 basis points versus the comparable period in 2021. Margins to the quarter were affected largely by lower production and cost and efficiencies associated with the cyberattack and supply chain disruptions as well as higher operating expenses as a percent of sales. Second quarter price increases of approximately 9% offset the significant material and freight cost inflations on a dollar basis. However, although strong, the price increases were not sufficient to offset the impact on a margin basis. For the full year, we are expecting pricing in the 10% range to offset material cost inflation on a dollar basis. By region, the Europe/Middle East segment reported a decrease of approximately $40 million in operating income compared to the second quarter of 2021, primarily from currency translation of the weaker Euro. Operating income was also affected by lower production and cost inefficiencies. North American operating income for the second quarter of 2022 decreased approximately $53 million year-over-year. Lower sales volume and production, as well as production inefficiencies, coupled with the weaker mix and higher operating expenses result in the lower second quarter operating results. Operating margins in our South American region reached nearly 16.5% in the second quarter and operating income improved over $62 million versus the same period in 2021. Continued significant increases in end market demand along with strong pricing and a healthy sales mix supported the year-over-year growth. Finally in our Asia Pacific/Africa segment, operating margins expanded to over 14% in the second quarter, reflecting mainly an improved sales mix. With the margin expansions in the last two years in our North American, South American and Asia Pacific/Africa regions from our strategy execution and disciplined pricing, we expect the margin profile to be more balanced across the globe in the years ahead. Slide 11 provides an overview of our grain and protein sales by region and by product. Sales decreased about 1% in the first six months of 2022, compared to 2021. Globally, grain equipment sales increased approximately 19% with our South American and North American regions showing the largest increases. Protein production sales declined approximately 24% in the first half of 2022 with the weakest demand in the Asia Pacific/Africa region, mainly related to swine related equipment sales. Overall, grain equipment demand has been strong, supported by improved grain prices and profitability of farms. However, the North American demand has been muted due to industry-wide price increases to cover the increased cost of steel. The protein production equipment market remains challenged due to labor issues and high input costs such as grain. However, as protein prices are improving, so is protein producer profitability, which should lead to further investment. Slide 12 details AGCO’s free cash flow for the first half of 2022 and our outlook for the full year. As a reminder, free cash flow represents cash used in or provided by operating activities, less capital expenditures. For the first six months of 2022, free cash flow was a use of $710 million, which is just over $460 million higher than the first six months of 2021. The primary driver for the change is the additional working capital requirements caused by higher inventory levels related to the continued supply chain challenges. For the full year of 2022 although we expect our raw material and work in process inventory to continue to remain elevated, to help us manage through the difficult supply chain environment. We do expect to see significant improvements in the second half of 2022 to generate approximately $600 million of free cash flow for the full year, which is up significantly from 2021. Our capital allocation priorities remain unchanged, and we will continue to include investment in our precision ag offerings and digital capabilities, as well as opportunistically adding bolt-on acquisitions to help position AGCO for long-term success. In addition, we’ve focused on direct returns to our investors this year with our regular quarterly dividend that was increased 20% last quarter to $0.24 per share and this year’s variable special dividend of $4.50 per share given our expectations of our strong free cash flow generation. Future returns of cash to shareholders will be based on cash flow generation. Our investment needs, which include capital expenditures and acquisition opportunities, as well as our market outlook. Slide 13 provides our full year market forecast by region. Despite the slower than expected start in the first half of 2022 due to the supply chain issues; we still expect higher retail industry demand in total. For North America, with higher commodity prices and healthy farmer sentiment we continue to expect higher demand to replace an age fleet of larger equipment being partially offset by modestly softer demand for smaller equipment after the several years of strong growth. Overall, we expect the North American market to be up 5% to 10% year-over-year. For South America, we now expect the industry to be near the higher end of our previous range at around 10% growth. The year-over-year growth is driven by the supportive commodity prices in favorable exchange rate, which allowing farmers to continue replacing aged equipment as the number of planted acres continues to expand. EU farm economics are expected to remain supportive in 2022, elevated commodity prices are expected to offset, higher fertilizer and diesel cost. Economics are positive for dairy producers. As milk prices have moved to record levels and are offsetting higher feed cost. As such Western Europe industry demand is expected to be flat compared to the 2021 levels. Slide 14, highlights the key assumptions underlying our 2022 outlook. Our priorities continue to be maintaining a safe working environment for our employees in providing proactive support to our customers and dealers. In addition to focusing on meeting the robust and market demand, we will make significant investments in development of new solutions to support our farmer first strategy. Our second half results are dependent upon our supply chains performance. Our outlook is based on the current estimates of component delivery levels for the remainder of the year, and our results will be affected if the actual supply chain delivery performance differs from these estimates. Our sales plan includes price increases of approximately 10% aimed at offsetting higher material cost inflation during 2022. With the significant weakening of the euro versus the U.S. dollar. We expect currency translation to negatively impact sales by about 7% based on the current exchange rates. Engineering expenses are expected to increase by approximately 15% to 20% compared to 2021. The increases targeted investments in smart farming and Precision Ag products, as well as the company’s digitalization initiatives. For the full year operating margins are expected to improve compared to 2021 as a result of higher sales and corresponding production, favorable pricing net of material cost and improved factory productivity, partially offset by increased engineering and digital investments, as well as inflationary cost pressures. Finally, we are targeting an effective tax rate ranging from 28% to 29% for 2022. Slide 15 provides our outlook for 2022, which continues to be based on the current estimate of our supply chain capacity. Results will be affected if the actual supply chain delivery performance differs from these estimates. We currently project 2022 sales to be in the range of $12.4 billion to $12.6 billion in corresponding earnings per share to begin the range of $11.70 to $11.90. The current sales outlook is modestly lower reflecting the effect of foreign currency exchange most notably the weaker euro. However, despite this headwind, we still expect to deliver full year earnings per share in line with our original estimate, given the strength of our markets, our pricing actions and solid execution of our strategy. We still expect capital expenditures to be approximately $325 million and free cash flow to be in the $600 million range. For the third quarter, we project a year-over-year increase in sales and improvement in operating income. We expect our production levels to remain at the higher levels, Eric talked about earlier, and we will help offset a portion of the production shortfall we incurred in the second quarter. Operating margins are expected to be higher in the third quarter of 2021 with continued strong market conditions and pricing offset in the effects of material cost inflation and increased engineering expenses. As a result, we estimate our earnings per share for the quarter to be approximately $3 per share. With that, I’ll turn the call back to Greg for Q&A.
Greg Peterson: Thanks, Damon. As we move into Q&A and to expand participation, we’re going to ask you to limit yourselves to one question and one follow up. Amy, please go ahead and get it started.
Operator: Thank you. [Operator Instructions] We’ll take our first caller, please go ahead.
Jamie Cook: Hi, good morning, Jamie Cook from Credit Suisse. I guess before I ask my question, congrats, Andy, thanks for all the help over the year of your years wish you the best and Damon welcome on board. I guess my first question, the margins in South America were very strong, obviously volume helps a lot, but I’m just trying to wonder just under trying to understand, is there anything else structural going on the margin front, that we can get more optimistic about South American margins, over the longer term and perhaps, getting back to sort of prior peak levels. And then my second question, obviously lots of concern on your stock with regards to Europe. Can you talk about sort of your view, what you’re seeing on the order book potentially that building into 2023 and how you’re preparing for, potential energy or gas origins next year? Thanks.
Andy Beck: I can cover the South America margin questions and maybe turn it over to Eric on the Europe question. So in terms of our second quarter margins, as you point out in South America, very strong first of all, production was up about 7% and that helped us we had favorability in terms of pricing in relation to material costs. And then obviously the strong growth helped us in terms of operating leverage. But I think the other key factor is that, we really had a strong mix. Our high horsepower equipment is growing much faster than our overall growth that includes tractors and implements and sprayers, and those all carry much stronger margin profiles. We’re also seeing still very good results in our grain and protein business. The market is very strong and we’re taking advantage of that. So overall really a strong mix. And again, the pricing I think is driving on the favorability that we’re seeing. So, we’re really pleased with the development of the margins in South America. And it’s little bit dependent, obviously on volume to some extent where these margins will go, but we think we’ve made step changes in our overall margin profile in South America. And think those will be consistently delivered in the future. Eric, you want to go over Europe?
Eric Hansotia: Yes, sure. And just reinforce the things that Andy just said about South America that was all by design. We talked to you a few years back saying we intend to turn around the South America business. We were not happy with the results there. And so we moved from a small tractor company in the Southern part of Brazil to a full crop cycle planters, sprayers, combines, large tractors focused also up in the Sertão region, in the Midwest where the big farms are. And we just took our whole board there to that region and went visited several of those big farmers. So it’s on purpose that, it’s a fundamental shift in our distribution strategy, fundamental shift in our product strategy. And overall that brings with it a very different margin profile that we expect to carry us forward. Relative to EEM [ph] you’re asking a couple dimensions there. One is how the orders look. Our order board is up 30% in EEM. We’re well into 2023. We’re continue to get strong order rates there. And so farmers, although there’s concerns that we mentioned, they still have good farmer profitability and they’re still buying. And they really like the new technology we’re bringing to the market there. Now, some of the challenges that we’re managing, some of the risks that we’re managing, you’ve highlighted the energy issue. 32% of our energy is already renewable. In Europe, we use a lot of electric or renewable and not a lot of natural gas where we do use natural gas, we’re putting in place changes to add LP storage and things like that. When we went through the COVID crisis, many of our plants were deemed, or essentially all of our plants were deemed, essential industry. I don’t know if that’ll play out again during the energy, if something were to get worse with energy supply. But at least that’s how we’ve reviewed last time. And with the global food shortage there’s a chance that would happen again. So a lot of demand, we’re trying to manage the risks if, and anticipate them and before they come, but we’re very bullish on our European business.
Jamie Cook: Thanks so much.
Eric Hansotia: You’re welcome.
Operator: Next color; please state your name prior to posing your question, name and company.
Jerry Revich: Yes. Hi, good morning. This is Jerry Revich of Goldman Sachs.
Eric Hansotia: Good morning, Jerry.
Jerry Revich: Can you hear me? Okay. Hi, great. You folks had really strong performance in the quarter, I think better than you expected about a, had five, six weeks ago. Can you just talk about the decision not to increase the earnings guidance given the $0.30 deed and also just in terms of the shape of the guidance $4 implied earnings in the fourth quarter, pretty robust quarter as well. Can you just talk about what’s driving the higher earnings waiting to port you as well?
Damon Audia: Yes, Jerry, this is Damon. I’ll let Andy jump in as well. I think when we had the announcement related to the cyber attack and we took the second quarter down, you know, I think our comments were that we would expect to recover most of that in the balance of the fiscal year. Obviously we recover a little bit stronger than what we had originally expected here in the second quarter. So no real significant change to the overall full year. If we look forward for the balance of the year here, there, obviously the Euro has weakened relative to the dollar, putting some pressure. You’ve seen, we’ve taken down the EMEA market a little bit, those two things are being offset by strong pricing and overall strong demand. So sort of bringing us back to that that, that full year estimate that we gave you guys this morning. Andy, anything you’d add?
Andy Beck: No, I mean, obviously, as you say, we learned a situation where we lost some production and had to make a, an estimate of what that impact would be. We did catch up a little bit in the month of June, so we had a better June than we originally thought. But this is, mainly just timing of when we’ll get the production through. And as we, our increased rates are going to help us catch this production up, not only in the third quarter, but the fourth quarter. So it’s spreading over both, both quarters. And so that’s going to be key to our success in the second half is getting the production up. There are other factors that will help us, reach those sales targets in the second half. We ended the month of June with a lot of unfinished tractors and other equipment where we’ve run them down the assembly line, but still waiting on one or two parts before we can ship them to our customers. And we had a fairly high level at the end of June. So we have teams that are going to be working through shut down periods and overtime and things like that to try to get these units out the door. And so that, that will help us also with our meeting our sales forecast in the second half.
Jerry Revich: Okay. Super. And in precision planting, you folks because of the chips shortage didn’t ship as much as you wanted to this year, how much are you stockpiling chips over the balance of this year in terms of what’s your ability to ramp up Precision Planting deliveries as you think about the 2023 planting season.
Eric Hansotia: Yes, the only word I would modify on your question would be stockpiling chips. We're pretty much as we get them, we use them. Andy talked about a lot of our products are waiting for a component. Many of those are waiting for a semiconductor chip. So that's still a constraint for us in precision planting, because it's a lot of electronic intelligence componentry. But our projection for precision planting for the year is going to be up 20% to 25% from last year. And so we've got a lot of order rate. We've actually been managing demand and not turning on ordering as strongly as we would have, because we're trying to just manage market expectation on when we can actually ship. So business is still continuing strong this year. We're going to launch some more new products and we expect 2023 to also be up from this year. And we've been on a growth rate of over 20%, no reason for that that would slow down.
Jerry Revich: Perfect. Appreciate the discussion, Andy, Damon, Eric. Congratulations.
Eric Hansotia: Thank you.
Operator: Next caller, please state your name and company.
Steve Volkmann: Hi, it's Steve Volkmann with Jefferies. Damon, welcome from my side as well. I just want to ask you about tungsten prices. No, that's a joke actually. So, I do have a couple of follow-ons if I could around South America, because that was obviously impressive. And I think Damon, in your prepared remarks; you said something that sounded like a channel fill happening down there any way to quantify that?
Damon Audia: Yes. Steve, if you look at what happened in the second quarter, some of that sales growth that you see, I would probably estimate it about 20% of that related to some channel fill that occurred it's industry wide, where the, if you look at the industry from a shipment standpoint, it was about 20% different than what happened at the retail level. And the reasoning behind that is the crop plan for Brazil, which also includes the FINAME financing, starts back up in the month of July. And so it was the funding had run out in the second quarter and so all those units have customers associated with them, but they've got to get through the financing process with the FINAME program. So, we expect to see that from a retail standpoint, those flushing back through in the third quarter. And so you'll see, I think retails exceed wholesale in the third quarter, most likely industry wide.
Steve Volkmann: Understood. Thanks. And then on the margin down there, I think historically we had sort of thought that a key driver was going to be getting some different sort of localized supply chain in place and so forth. And my understanding is that was kind of difficult in this environment. So has that happened yet or is that still sort of upside to margin as we go through the next several quarters or whatever?
Damon Audia: Yes, Steve, it has happened to some extent, but I don't think we have completed everything that we targeted a while back, obviously with the market picking up so dramatically and all the supply chain challenges resourcing at this point. It's not one of our top priorities. It's just getting the parts back from our core suppliers, but the margins have picked up because of our ability to price and also this mix change. So, we've haven't forgotten about those projects and initiatives, but right now they're a little bit on the back burner.
Steve Volkmann: Understood. Thank you.
Operator: Next caller, please state your name and company.
Chad Dillard: Hi, this is Chad Dillard from Bernstein.
Damon Audia: Morning, Chad.
Eric Hansotia: Hi, Chad.
Chad Dillard: Morning guys. So, I just wanted to dig a little bit further into your plans to catch up on production because of the cyber attack. How do you thinking about the cadence between 3Q and 4Q, and then I think, Damon, you've mentioned that your work in progress inventories are a little bit higher in Q2 just wanted to figure out just, what the Delta was between 2Q versus 1Q, and how to think about it in the third quarter and fourth quarter?
Damon Audia: Yes, our production rates in the second half are going to be, order to meet our sales targets need to be 10% plus. You'll see a little heavier waiting in the third quarter versus the fourth quarter, but both up double-digits versus last year. So, I think that's we're – as we mentioned in our comments, right now are our run rates and our factories are sufficient to meet those targets. And so hope, we plan on maintaining those rates as long as our supply chain cooperates. So that's our plan for the second half.
Chad Dillard: And then in your prepared remarks, you talked about the Challenger and Fendt brands, being able to double over the next five to seven years. So just a level set, what are your revenues in 2022? And then can you just provide a little more color on bridging to that growth?
Damon Audia: Yes. So, when we talk about that doubling growth, that's in our North America and South America markets, that's where the geographic expansion is happening with Fendt. And as we said, we've doubled since our – in 2022 estimates are we'll double since from 2020, and then our target is to double again. And the revenue associated with that is somewhere about $750 million that's tractors, planters, combines included in that amount.
Chad Dillard: Great. Thank you.
Operator: Next caller again, state your name and company.
Kristen Owen: Yes. Hi, this is Kristen Owen from Oppenheimer. Wanted to ask a follow up question on production. Thank you for outlining that the 10% plus in the second half, but making up a lot of the downturn and 2Q, not quite back to the 10% that you were anticipating for the full year. So, I'm just wondering, what does that set up for you in terms of backlog entering into 2023 and just from a retail level, any propensity to see some cancellations as you know, maybe missed some of those deliveries?
Andy Beck: No, I would say that the customers understand the issues right now with the supply chain or that's not unique to AGCO or even to our industry. So certainly our customers are anxious to get their products and we are anxious to get them to them, but we're working with our dealers and our customers very closely trying to manage their expectations and they understand our challenges and when these products can be delivered. We're not seeing any cancellations of orders or anything like that. So our order boards extend well into 2023 now, which is unusual. Typically at this point in time, we wouldn't be having orders in 2023, but this year we do. And so if we're taking orders, they know it's not till next year at this point.
Eric Hansotia: And just to underline that at the foundation of this, the world doesn't have enough green and there's droughts, significant droughts and heat issues in Europe. And in North America, the latest forecast just came out that the European drought made drop yield by 9% there. So there's just not going be enough green in the market for quite some time, which is going keep prices supported. And that just means farmer profitability. And so what we're seeing is just like what Andy said, we're not seeing any cancellations to the contrary, our order bank is going up, it's at the highest level in the history of the company. And it's got a higher mix of retail in that order bank than is usual. So it's the demand is still very strong.
Kristen Owen: Appreciate that color. And then I wanted to just ask a clarification on the mix impact in North America. In the prepared comments, there was some mention of mix, in Q1 you had the precision planting sort of headwinds on the chip side this quarter, I think you mentioned combines and sprayers. Is there some ability to deliver on some of those seasonal products outside of the normal seasonal windows, such what we see a mix benefit moving into the second half of the year? Thank you.
Eric Hansotia: Yeah. So with – we do it, do expect to see the mix pickup in the second half in North America. You rightly pointed out that the mix was a little weaker in the second quarter, and we were also impacted just by the volume, sales volumes being lower than expected. But in second half we see a better mix of high horsepower equipment. Some of these unfinished tractors that we talked about in Europe, they're coming there coming our way into North America. We have a new sprayer that we'll be releasing and introducing in the second half of the year, which we're very excited about. And then the precision planting business is also going to see some higher growth. Typically their sales are very front end loaded in the year.  So first quarter with the planting season and then things drop off. Well, customers have – we weren't able to really meet all the demand in the first quarter. So customers are ready to take it even out of the season now. And so we're going to see better sales in the second half than we typically do from a kind of a waiting of the quarters. So all of that'll contribute to some better margins that we've seen so far in North America in the second half.
Operator: Next caller, please state your name and company.
Steven Fisher: Hi, it's Steven Fisher from UBS. Thanks, good morning. I know you said your order boards are up and grain prices remain supportive even after the recent decline in prices. But I guess I'm curious if that decline has had any impact on customer behavior as you're seeing it, or is it really just kind of too soon to tell, I'm curious just maybe of the order trends year-over-year in July, if you could offer some color there?
Eric Hansotia: Well, you know, you look at some of the sentiment indexes and the sentiment is cooling off for farmers, but their buying is not, their profitability is still strong. We continue to get orders. The retail portion of the orders are still strong. And so there's lots of things to be concerned about relative to watching the news. But when they get through all of those concerns and they look at their economic situation, they're still in a position to buy and the grain doesn't drop out of the sky, it happens through harvest and we're getting our ability to project. What the Northern hemisphere harvest is going to be in this green gap is not going to get solved this year. So now we're into next year to try and solve it. And that means support of pricing through a pretty lengthy time in front of us. And that's what the farmers are watching.
Steven Fisher: Okay. And then just curious what you're seeing on used values and how that's affecting your ability to kind of continue to tag on used tech on higher new pricing from here?
Eric Hansotia: Used values are still extremely strong. Used inventory is extremely low. The returns on leases are down. I mean, everything is showing a hot market. The amount of inventory in the pipeline is low. So pricing is high, inventory availability is low. That all is just continuing, no softening in any of those indicators. We watch all of them to make sure that we're on top of things. And when something does soften some, we want to make sure we're right on top of it, but it's not happening now. 
Steven Fisher: Okay. Thanks a lot. Congrats Andy and welcome, David.
Eric Hansotia: Thank you.
Operator: Next caller, state your name and company.
Tammy Zakaria: Hi, good morning. This is Tammy Zakaria from JPMorgan. Thank you so much for taking my questions. So my first question is, you've mentioned semi-finished tractors. When we look at your inventory, it's up about 4% sequentially, which seems to be roughly in-line with where you would've been historically. So where is the semi-finished product sitting? And can you quantify if at all, how much that is and whether you expect all of that to be recognized in 3Q?
Eric Hansotia: I think I got all of that. The semi-finished equipment as you call the unfinished equipment is in our inventory. It's in work in process category of the inventory. Now we had unfinished equipment a year ago as well. So this isn't – all of this isn't a pure increase from the prior year, but I would say probably at least over $100 million dollars more unfinished inventory than we had a year ago and both last year we brought, got it down by the end of the year, and that's what we expect to do as well. It won't all get pushed through in the third quarter. It'll be a gradual improvement throughout the second half of the year. But we do expect to get and planned for that in our planning that that comes way down by the end of the year.
Tammy Zakaria: Got it. That's super helpful. And then this is more of a longer term question, going back to your South America margin, it seems like south America is on track to become your most profitable market this year. So how sustainable is that? And can the other regions gradually go to that mid-teen plus operating margin by design like you've done with South America?
Eric Hansotia: Well, I would highlight a couple of points and one is that every market is at a little different place relative to their historical demand. Europe is our least volatile market. They have – they don't peak as high, but they don't have as nearly as low a troughs either. They kind of are closer to flat than any of the other markets. Whereas South America has more volatility and right now they're enjoying a strong industry. And so we're further above the historical average than in other markets. So that's one dimension.  Exchange rates is a second dimension, but the recipe that we're applying in South America generically is the recipe that I highlighted on our high margin growth business slide. Focus on large Ag production machines and taking Fendt global, focus on Precision Agriculture and improving parts and service business. That's the same recipe we're applying to all the regions and all of these bring both higher margin, a better mix as well as less cyclicality as we go through the business cycle.
Tammy Zakaria: Got it. Thank you so much.
Eric Hansotia: You're welcome.
Operator: Next caller, please state your name and company.
Seth Weber: Hi, it's Seth Weber from Wells Fargo. Good morning. Can you hear me okay?
Eric Hansotia: Yes, we can loud and clear Seth.
Seth Weber: Sorry. I just wanted to go back to circle back to a couple of other questions and answers. So just with this precision planting the timing shift to the second half, the delivery shift to the second half of the year. Is it fair to think that North America margins should be into the double digits here for the back half of the year, the operating margin?
Andy Beck: Yes, that’s we’re looking for double-digit margins in the back half in North America.
Seth Weber: Okay. Thanks, Andy. And then I just wanted to make sure I’m understanding the messaging around the GSI business, because it does look like that business came off like 9% or 10% here in the second quarter. And I’m trying to understand if that’s really just a production issue. I think I heard you say something about pushback against pricing or how much of that is really a function of farmers getting more cautious with the somewhat softening in crop prices? Thanks.
Eric Hansotia: Yes. For our grain and protein business, if I just hit the punchline first, then I’ll give you explanation. We expect sales for the year to be up 10% and margins to be up 200 basis points to 300 basis points. Now, why is that different than quarter two? The cyberattack played a larger impact on grain and protein than many of our other businesses. And some of that was because of the business itself. And some of that was a choice we made as we were turning systems back on turning factories back on prioritizing things. We prioritized some of our other sites. And so they had some of the longer shutdown periods compared to the rest of the company. And so their quarter two was impacted a little bit more strongly. But fundamentally we see grain demand still strong and protein demand coming back. Steel is softening a little bit. And so we – and then our transformation program or broad business improvement program for grain and protein is staying on track. So that’s why we expect a little higher sales and notable increase in margins.
Seth Weber: Increase in margins. Got it. Okay. Thank you guys. I appreciate it.
Eric Hansotia: Thanks, Seth.
Operator: Next caller, please state your name and company.
Dillon Cumming: Great. Good morning. This is Dillon Cumming from Morgan Stanley. Just the first one on channel inventories, maybe at the dealer level in North America and Europe. Obviously, the focus this year is still seems to be on meeting retail demand, but just curious as you’re looking into 2023, do you feel like that’s a year where you could potentially start to begin to restock the channel? And I guess if so, do you feel like you could restock the channel all in one year or how extended do you kind of still see that opportunity?
Andy Beck: Yes, I don’t think we’ve gotten that far yet to really make plans about 2023 in channel inventory. I think the one area where we’re seeing that we’ll probably see some channel rebuild is in the small tractor area. We need to carry more inventory there, that’s a impulse buy type business. And so we need to have the appropriate level inventory there. And now that the market’s cooling off as we described, there’s a little more opportunity with some of the orders that we have to get that inventory at the right levels. And so that’s the only area right now that we see in, kind of our current view of anything changing. Obviously as we get more into planning for 2023 and determine what our production capabilities are that will certainly dictate what we’ll do with the channel inventory. So little early to say, I think we can probably update you as we get into our real planning for next year.
Dillon Cumming: Okay. Got it. Thanks, Andy. And maybe it’s a longer-term question on the Precision business. You obviously took that target up for 25. I’m just curious how much of that is kind of coming from more accelerated uptake around technologies in the near term versus any kind of incremental products that you have in the pipeline that should be kind of coming over the next few years?
Eric Hansotia: Well, we’re sold out on many of our products, so the demand is continuing very strong in Precision Planting. We’re we already signaled this spring that we’re getting into the sprayer business with targeted spraying and vision systems. We’re going to have some more launches a really exciting one coming up here in next few weeks that will be another exciting one. And then we’ve got more products coming in the Winter Conference next January. So that’s Precision Planting. But as a reminder, we bought six companies last year to accelerate the Precision Planting journey. And so we’ve clustered them all around Precision Planting, following the same approach in terms of innovation and farmer focus and a mindset of the retrofit business. And we call that our Precision AGCO business. And so there’s also a incremental growth from the acquisitions as they contribute as a second engine within the Precision Ag business, within AGCO.
Dillon Cumming: Got it. Sounds good. Thanks, Eric.
Eric Hansotia: You bet.
Operator: Next caller?
Tim Thein: Hi. Good morning, Tim Thein from Citigroup. I’ll just tag two together if I may. The first is on parts sales. I think if I heard right, [indiscernible] I think that something the high single digits in the quarter, and I’d imagine in a normal environment where supply for new equipment is tight or that you’d have folks running stuff, existing machines harder. So that should be a tailwind for parts demand. And also assume that there’s a fair amount of pricing in the channel. So maybe you could just – maybe touch on that. Presumably that’s more of a supply than a demand factor, but so the first is on parts. And then second on North America, obviously, you’re not the largest player in the market. But just your confidence level in your industry forecast to be up 5% to 10% for the year. Just given that that implies a pretty big back half, given where we are to mid year. So maybe just touch on those two things. Thank you very much.
Andy Beck: Yes. In terms of parts sales, they were impacted as well by the cyberattack. We had to really focus just on shipping parts to on down units and things like that rather than normal building of dealer and restocking a dealer inventories and things like that. So we’ll see – we saw in Q2 kind of a lighter sales than we expected and hopefully that will pick back up in the second half. We don’t think we lost too much of that. It’s just a matter of timing with building and maintaining dealer inventory levels. And then in terms of the North American industry, really all these industry forecasts are as dependent on forecasting supply chain than demand. So we believe again that there’s very strong demand out there because of farmer income levels, commodity price levels, those kinds of things. So it’s about trying to understand what’s going to happen with not only our supply chain, but the industry supply chain and how much product is going to get delivered in the back half. So we’re kind of basing our industry forecast and what we see for our business and projecting that forward.
Eric Hansotia: And Tim, the only thing I would add on the parts sales talked about the constraints, but we were, what I quoted for you was an absolute dollar. And if you look at the currency effect, as I said, was around 8% in the quarter. So we actually did grow on a constant currency basis. But again, that 2% growth was limited as Andy alluded to earlier.
Tim Thein: Yes, understood. All right. Thank you.
Operator: And that does conclude the question-and-answer session for today. At this time, I’d like to turn the call back over to Eric Hansotia for any additional or closing comments.
Eric Hansotia: I’ll close this morning, but just saying, thank you very much for your participation in the call, a lot good questions and appreciate the discussion. We – despite the additional foreign exchange headwinds and the impact of the cyberattack, we had a really solid first half of 2022. We’ve got a lot of work still in front of us. And the balance of years is a challenge. But we are solidly on track for strong sales growth, margin expansion, and a record full year earnings per share. I’d like to leave you with a reminder of that growth slide that I talked about earlier, that we also showed in Germany and reiterate our plans to grow our business. We’re very convinced with the continuing development of our farmer focused solutions that solve critical farmer problems. And right now there’s more pressure on farmer than there probably ever has to both grow more yield to close this grain gap and also do so with fewer inputs. So they’re thirsting for these technologies that we’re developing. And it also, it greatly grows our expandable – expands our addressable market, which will bring more sales growth over the long term. We’re engaging also in sustainability and helping our farmers make the transition to not only more productive farms, but more sustainable farms. We’ve got a good track record so far, we expect for the year. Precision Planting to be up 30%, smart nozzles to be up 26%, IDEAL combines to be up 60%. The strategy is showing up in the numbers. And we look forward to talking to you more directly about all of this at farm progress on August 30. Thanks and have a great day.
Operator: That does conclude today’s conference. Thank you all for your participation. You may now disconnect.